Operator: Good day and welcome to the Trinity Industries' First Quarter Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note today's event is being recorded. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions, and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks. A change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. I would now like to turn the conference over to Jessica Greiner, Vice President of Investor Relations and Communications. Please go ahead, ma'am.
Jessica Greiner: Thank you, Rocco, and good morning everyone. I'm Jessica Greiner, Vice President of Investor Relations and Communications for Trinity. We appreciate you joining us for the company's first quarter 2021 financial results conference call. Our prepared remarks will include comments from Jean Savage, Trinity's Chief Executive Officer and President; and Eric Marchetto, the company's Chief Financial Officer. We will hold a Q&A session following the prepared remarks from our leaders. During the call today, we will reference slides highlighting key points of discussions as well as certain non-GAAP financial metrics. The reconciliation of the non-GAAP metrics are provided in the Appendix of our supplemental slides. The supplemental materials are accessible on our IR website at www.trin.net. These slides can be found under the Events & Presentations portion of the site along with the first quarter earnings call event link. They are also available live during the webcast. It is now my pleasure to turn the call over to Jean.
Jean Savage: Thank you, Jessica and good morning everyone. I'd like to start today on slide three and pick up where we left off at our Investor Day in November last year. We laid out our strategy for Trinity's Rail platform to deliver premier financial performance and deploy capital to drive value creation.
Jean Savage: Thank you, Jessica. And good morning to everyone joining us today. I hope everyone is staying healthy and looking forward to a brighter summer in the year ahead. We certainly are, and are increasingly encouraged by the improving trends for our business and the economy as a whole. While the railcar market is showing signs of recovery in 2021, we are focused on the execution of strategic initiatives that are more within our control to position the company for an acceleration in our financial performance. Many of which were detailed either Investor Day last winter as part of our three-year strategic plan. To highlight the key themes from the first quarter, Trinity's results reflect the initial impact of implementing certain of these project initiatives on top of challenging pricing and declining volumes, given the lower order volumes last year. Additionally, two significant weather events affected our productivity in the quarter. One of which will have a lingering impact on our business in the second quarter. Even so, I'm pleased with our progress toward the goals we laid out at our Investor Day and the tremendous effort our teams have put forth. We feel very good about how we are positioning our business for recovery and the embedded value we are creating in the platform for long-term performance. While earnings were low given the reasons I just stated, Trinity's Rail platforms still generate a healthy level of cash flow in the first quarter. We also believe the investments made during the quarter align with our capital allocation framework for curating long-term shareholder value. Let's me turn now to Slide 4 and review our results. As I mentioned in my opening, we believe the railcar market is early in its recovery from the pandemic-related headwinds of 2020. However, our first quarter financials continued to show the impact of lower demand and pricing pressure in the market over the past year. Our first quarter revenue of $399 million was down 35% from a year ago, which was within our expectations, but nonetheless, not where we like it to be. The past quarter will be the most challenging year-over-year comparison for us, given that COVID-19 did not take a broader hold in the U.S. until the second quarter of last year. Lower deliveries also impacted or adjusted EPS of $0.07, which was down compared to a year ago. While the overall financial results remained weak, Trinity's Rail platform continues to drive solid cash flow relative to the level of earnings we achieved. In the first quarter cash flow from operations totaled $70 million and free cash flow, which is essentially our excess cash after all investments and dividends, was $90 million. Eric we'll go into more details on our cash flow results in a moment. What is difficult to see in the consolidated results are the encouraging internal and external trends we are seeing. I am pleased to report that our operational performance and railcar increase are turning the corner and trended positively as we progress through the first quarter. Let's first briefly address the railcar market. Turning to Slide 5. As mentioned, the rail market is still soft, but we are seeing signs of a recovery. Market uncertainty in the wake of COVID-19 pandemic remains the largest headwinds. Our customers tell us they continue to refine their expectations for the North American economic recovery and what that will mean for their businesses. Their concerns are starting to ease with increasing vaccine distribution and government stimulus programs. Customer confidence and the economic outlook impacts their decisions regarding lease renewals, fleet expansion and asset replacement. Looking at rail traffic, first quarter loadings were greatly impacted by weather events, but some positive momentum emerged in the last few weeks. Additionally, we see nine straight months of rail cars coming out of storage since a peak last summer, leading to industry utilization returning to pre-pandemic levels and trending around the five-year industry average. We see positive carload and storage trends for railcar types representing over 50% of the North American fleet. Previously, fleet serving the agriculture and consumer Product markets were presenting the most opportunity based on improving carloads. With early signs of a recovery in the industrial economy, high steel prices and increasing steel mills utilization as well as potential infrastructure build, we are also seeing positive benefits on railcars within the construction and metals markets. The energy markets continue to lag, but we are seeing some recovery from the pandemic lows across commodities like coal, crude oil and ethanol likely associated with the reopening of the economy across the country. Utilization and pricing are firming within our lease portfolio, and railcar inquiries return to a more normal level of activity. Trinity's FLRD metric declined slightly during the first quarter to a negative 14.8%, as a result of difficult comps and the quarter for aspiring lease rate. We expect lease rates to stabilize to slightly improve in many markets over the course of the year, as excess railcar capacity returns to service to meet increasing carloads. When looking at the potential for new railcar demand, we're currently expect industry deliveries to be below replacement levels this year. But believe that current inquiry support railcar deliveries at or just above replacement levels in 2022. I want to make a quick comment on steel prices. Given the decline in industrial production the past few years, we are in a unique and dynamic environment as it relates to the supply of steel and the unprecedented rise in steel prices seen over the last six to nine months. Trinity typically uses contract-specific purchasing practices, existing supplier commitments, contractual price escalation provisions and other arrangements with our customers to mitigate the effects of steel price volatility on their operating profits for the year. In general, we believe there is enough capacity in the industry to meet current production levels, and that our existing contracts will meet our current production forecast. If current steel prices sustained at least at these levels or trend higher, it could limit demand for new rail cars. Of similar importance, current steel pricing could create a profit headwind in some of our near-term deliveries as the supply chain ramps up to meet increasing demand. Turning to Slide 6, I'd like to provide a little further color on our segment results. For the leasing business, Trinity's lease revenue was slightly down compared to last year due to the continuation of softer pricing on lease rates and slightly lower utilization. The good news is, in addition to prices firming in the market, as demand improves, we are seeing positive developments with leading indicators, such as high renewal success rates, and lengthening terms. We are taking a disciplined approach to pricing on our lease rates. And we believe we are nearing an inflection point, as available rail cars in certain markets are approaching full utilization. We're also closely monitoring our costs, but expect that maintenance and other operational expenses required to position the lease fleet for increasing demand will be a headwind to the leasing segment margin for the year. As part of our strategic initiatives, we will continue to work towards increasing the percentage of maintenance and compliance events handled internally within our shops. Over the last few years, we have increased our service capacity from roughly one third to over half of our maintenance events, achieving a target we set out at the end of 2018. With our current footprint, we have the ability to get to 70%, which will continue to reduce the effect of maintenance cost of our fleet and improve the serviceability of the railcars for our customers. In regards to our railcar production operations, on the surface, rail segment margins are understandably still below our targets. We continue to work hard to right size our operations and shift variable and indirect costs. During the first quarter, we reduce manufacturing headcount by another 25% to balance our production capacity with demand. We also experienced two significant weather events that disrupted our operations in the first quarter and impacted profit by roughly $4 million. First, the severe weather storms that impacted much of the country over the middle of February, impacted critical utilities for several facilities, with some buildings sustaining minor damage. Second, very late in the quarter, a tornado damaged our Cartersville Georgia maintenance plant. Fortunately, no one was injured. The tornado damage is expected to have a minor impact on the Rail Products Group second quarter results. And we believe our insurance coverage is sufficient to cover property damage costs related to the event. Additionally, the company may be entitled to business interruption proceeds due to the work stoppage. Looking forward, we expect progress on our optimization efforts will translate roughly into breakeven margins for the second quarter, with continuous improvement through year-end. Approximately 55% of our backlog is expected to deliver in the year, resulting and declining year-over-year deliveries. Although we do expect our delivery rate to build through the year to meet demand for new orders. Moving along the Slide 7, in terms of progress on our initiatives in the first quarter. We executed against both our efficiency and our balance sheet goals. Over the quarter, we successfully launched various initiatives to enhance the value of our outsourced fabrication activities. I already mentioned the completion of further headcount reductions. In aggregate, we have made great progress to lower breakeven costs on railcar production, and we are starting to see tangible benefits from our efforts. Through the remainder of the year, we plan to continue lean initiatives and install additional automation throughout our rail operations to lower the overall cost structure. We are continuing to evaluate cost savings across the enterprise. We sold several idled facilities during the first quarter. And we expect to conduct a number of these transactions over the next couple of years to clean up our operational footprint and reduce the carrying cost of these facilities. On the balance sheet, we completed a small sale of these railcars as part of our portfolio yield improvement goals. This portfolio sale is a small step toward the goal, but we have a number of strategies in progress to improve our balance sheet. As you recall from our Investor Day, Trinity is committed to lowering our cost of capital by raising our leverage to a target of 60% to 65%, LTV. Eric will speak more to our balance sheet optimization shortly. And finally, an update on Trinsight, which is our real-time, digital tracking and fleet data service. We continue to have promising dialogue with customers and have moved to an active pilot program with a growing number of those customers. We look forward to updating you on the revenue opportunity and the potential for the market impact in the future. In summary, we are executing our plans well. And with continued improvements and rail fundamentals, we believe our returns and financials were incrementally improve on the up cycle given the operating and financial leverage we're building in the business. It's always difficult to predict the exact timing of an inflection or the pace of recovery, but we are encouraged by the momentum we can see both within our business and within the market. Eric, I'll hand it over to you for additional comments.
Eric Marchetto: Thank you, Jean. And good morning, everyone. I'll start with the financial summary on Slide 8, and provide a few more details. Trinity's first quarter results are combination of the challenging post-pandemic market environment, and our efforts to position the business for an acceleration in financial performance. While the earnings results are lower than the first quarter of 2020, we believe we're making the necessary changes for improved profitability in 2021. And as Jean said, we're seeing green shoots from our efforts within the business. Jean has highlighted several business drivers of our financial performance, including lower overall deliveries and challenging lease and new car pricing compared to prior quarters. During the quarter, our earnings results were impacted by approximately $4 million of direct costs in lost production ton, associated with two distinct weather events. As we look through 2021, we expect modest earnings improvement in the next quarter, with further acceleration in the back half of the year, resulting in year-over-year earnings improvement in 2021. In regards to cash flow, first quarter cash flow from operations primarily reflects the lower level of operating income. Our working capital was substantially unchanged during the first quarter, resulting in $70 million in operating cash flow for the period. For 2021, we continue to expect cash flow from operations of between $625 million and $675 million. Our investments in the quarter included approximately $108 million in leasing CapEx for new railcars and betterments and $9 million in manufacturing CapEx following the completion of our Midwest maintenance facility. For the year, our expectation for net leasing CapEx and manufacturing CapEx remains the same at $300 million to $350 million and $45 million to $60 million respectively. We anticipate completing additional portfolio sales from the fleet during 2021 as we execute on our initiative to improve lease fleet returns. Total free cash flow after investments and dividends totaled $90 million in Q1. The improvement from cash flow from operations is a result of the timing and the financing of our leased fleet growth for the order offsetting the equity capital required. Trinity, also completed the previously announced acquisition of a railcar cleaning technology company for approximately $17 million. We expect to leverage this new technology and building capability as part of our automation efforts in rail maintenance operations. We continue to return meaningful amounts of capital to shareholders through our dividends and share repurchases, which combined for approximately $60 million during the quarter. Our share repurchase authorization has $145 million remaining through the end of the year. As we look across our opportunity set for deploying capital, we're committed to taking a returns-based approach and do right by the shareholder. Turning the Slide 9. Trinity remains in the strong financial position with a balance sheet capable of opportunistic deployment. We're also making steady progress on our leverage target goals and lowering our cost of capital. During the first quarter, Trinity expanded the size of leasing warehouse. The increased size of warehouse gives Trinity the ability to lower our overall interest expense while gaining exposure to floating rate debt. Our liquidity at the end of the quarter - at the end of the first quarter was $772 million. We expect to continue taking advantage of the low interest rate environment to reduce our overall cost of capital. Through these nearest term debt maturities primarily relate from partially owned subsidiaries, which were financed in a much different interest rate environment. Rail asset-backed securities have continued to attract new investors creating a very deep market and compelling environment for completing new debt deals. The announcement of our green financing framework for at lease securitizations is also potentially opening new pools of capital. We're taking a disciplined approach to matching the increased leverage on the balance sheet with the ability to deploy that capital to create shareholder value. Near term, our capital allocation priorities remain a modest investment in our lease fleet growth - in our lease fleet for growth. A normalized level of manufacturing CapEx, which includes implementing new cleaning technology in our maintenance business, as well as small tuck-in acquisitions for both secondary market portfolios, and other services. Our loan-to-value ended the first quarter at 61%, which leaves us positioned to take advantage of attractive market opportunities, including returning capital to shareholders. In closing, we believe that the strategic plan we layout investors is taking hold. And while the true success of our efforts will take time to come to fruition within our financials, we are focused on executing upon initiatives that are more within our control, and will accelerate our financial performance as the market recovers. After a year of major change in a worldwide pandemic, and big down payments towards restructuring the company in 2020, the first quarter of 2021 was another example of our people rising to meet a challenge. Our platform continues to prove its resiliency, delivering a healthy level of cash flows against otherwise low earnings number. We remain committed to a disciplined approach for allocating capital to build long-term shareholder value. We are encouraged by the continued positive trends we're seeing across the railcar industry and believe outside of a pandemic setback, and we're on the road to recovery. Rocco, you may not take us to questions from our participants.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Allison Poliniak with Wells Fargo. Please go ahead.
Allison Poliniak: Hi, good morning. Just want to talk about, really positive comments in terms of the railcar builds in '22, sort of reaching that replacement level. And I understand you're not giving a specific car guidance, but any thoughts on how you guys are viewing that cadence? Is it the stronger inflection in the second half that we could see this year? Or is it more of a gradual building your perspective? Just in general from overall thoughts.
Jean Savage: Okay. Well, thanks, Alison. As we look at the trends that we're seeing into the second half, we believe those will continue. It's a combination of supply and demand. Last year, we had over 50,000 cars that were traded out of the industry. And we're expecting to see 50,000, or maybe a little bit more trade out this year based off the run-rate from the first quarter. So if you look at those dynamics, you would expect to see higher pickup. One thing I do want to point out is, in this recovery, the mix of car types is much different than in the last one. So freight cars are coming back much quicker than the tank cars. And so that just a little nuance into what we're seeing.
Allison Poliniak: Got it. That's helpful. And then you had mentioned margin and rail products improving throughout the quarter. Any color you can bribe to help us understand that exit rate? And then I guess in line with that, you've continued to do some headcount reductions there. Should we anticipate that to stabilize here going forward?
Jean Savage: Sure. Thanks, Alison. So when you're looking at the headcount - I'll start there, you should expect to see that to start to stabilize as we've gotten the headcount ready or in place for the demand that we had for the first part of the year. And we have said that we would expect to see the demand increase through the second half. So you might see a little bit of a change there on what's going to happen. So it maybe basically in line for right now. If you look at the margins, a couple of things to look at there. We have been actively taking actions. We talked about the improvements we were going to make in both the outsourcing some of the lower value-added fabrications, that is starting to take hold. We have done some initiatives with supply chain overall, where possible to lower cost of inputs materials coming in, that's where building the steel prices. As you know, that is going up and going in the wrong direction there. But we've also spent time on automation in lean events within our factories. We're starting to see that pull through with better efficiencies coming out of the factory. So all of that coming to fruition gave us a better run rate coming out of the quarter that we see sustaining through the year.
Allison Poliniak: Perfect, thanks. I'll pass it along.
Operator: And our next question today comes from Matt Elkott with Cowen. Please go ahead.
Matt Elkott: Good morning. Thank you. Jean and Eric, could you guys say what's your definition of replacement demand? Is it 35,000-40,000?
Jean Savage: So as you're looking at anywhere between 40,000 and 50,000 cars is what we would say replacement demand is.
Matt Elkott: Okay, got it. And, Eric, I think you mentioned year-over-year improvement this year in earnings. Can you help us just knowing that benefit? Is it modest improvement, is it meaningful improvement?
Eric Marchetto: Okay. Matt this is Eric. So we did say we're going to have improvement. We do not put any other adjectives around it, besides there was improvement year-over-year. But when you look at where we are in the first quarter, obviously it was low. Jean commented we expect things to get modestly better in the second quarter and really more back-end weighted. So I think that's what we expect and that's what you can expect to see from us.
Matt Elkott: Got it. And then maybe a bigger picture or longer-term question about the manufacturing footprint right-sizing. You guys have been doing that for a while now. And we did some more this quarter. And I believe that you're not ruling out even more in the future. How much of this is due to the current weak environment? And how much of it is long-term strategic, meaning maybe not coming back? And if we take three to five-year view, what will the company as a whole look like from a manufacturing perspective? Are we talking about a much smaller manufacturing footprint that's - they're in large part to support leasing? Or can we expect you guys to move back up as a percentage of the manufacturing backlog to the 40% plus that you once had, as recently as a couple of years ago?
Jean Savage: Matt, I'll start on that. And then will hand it over to Eric if he wants to add anything. So when you look at our manufacturing footprint, one thing that I want to point out is some of the properties that we're selling have been not utilized. So they were there for potential future growth or other types of businesses. We're cleaning those up. And we still have numerous facilities left that fall into that category. So when we talk about selling those types of properties, that's what I'm talking about for the next few years. When we look at demands in the industry, and what we're setting up for, we really think that the industry will be at industry or replacement levels through possibly 2024. So we would make sure that we're sizing for that type of environment and what we believe our share is. And then the next part of it is, even as we have taken some of our capacity, alter offline, we've also taken some of the work outside. Those lower value-added fabrications going outside, opens up floor space in existing buildings that would actually allow us to produce more cars. We would just be doing more of the high-value add and assembly in our facilities. Hopefully that answers your question.
Matt Elkott: That's very helpful. Thank you very much.
Operator: Thank you. Next question comes from Gordon Johnson with GLJ Research. Please go ahead.
Gordon Johnson: Hey, guys, thanks for taking the question. I guess, on the operating cash flow, the guidance for the year is a bit higher than what we see in the first quarter. Is there anything out of - it seems like what you guys are expecting improvement of business in the back half. Anything additional to that, that you guys are doing that's going to help that cash flow number that we should know about?
Eric Marchetto: Yes, Gordon. And I didn't point out today, but I have the point - this is Eric, have pointed out previously. Recall, we have a rather large tax receivable on our balance sheet. And we're expecting at least the portion related to our 2019 tax year to come into this year. And that's approximately $245 million. So that will flow through our operating cash flow number when that receivable is converted to cash. So that's the other piece of it. The other piece you're going to see is, obviously our cash flow as our earnings improves, then we would also expect our cash flow from operations to improve.
Gordon Johnson: Okay, that's really helpful. And then, we expect that some of our other industrial sectors for things improve in the back half and it seems like you guys do too. Is there something that we should look to a metric? Maybe something out of the ordinary, or maybe something in the ordinary, we should look to I guess, just kind of gauge how things are trending versus your expectations?
Jean Savage: So the normal metrics that you look at, as far as carloads that you're seeing. Overtime, what you're seeing for the industry production rates that are going on. Overall signs that the economy is opening back up, will all lead to good recovery or potential recovery for rail industry.
Eric Marchetto: Yeah. Gordon, the weekly railcar loadings are a great indicator of the health of our industry. And so that's the beauty of it is. You get that real-time information every week. And so, if there's one metric that I point you to for our industry is going to be that one.
Gordon Johnson: Excellent. Hey, thanks a lot for the question is guys.
Eric Marchetto: Thank you, Gordon.
Jean Savage: Thank you.
Operator: And our next question today comes from Justin Long with Stephens Inc. Please go ahead.
George Sellers: Hey, good morning. This is George Sellers on for Justin Long. So I guess to start on your long-term ROE target, it sounds like the replacement demand levels for railcars that you're expecting to reach in two-years are a little bit lower than maybe what you were expecting when you gave that longer term ROE target. So just wondering if there's anything that's changed with the timeline there.
Eric Marchetto: So George, this is Eric. Let me just - I would say that generally speaking from what we said last November, when we at our Investor Day, that our outlook for the industry really hasn't changed. It's kind of moving as we would have expected. So that longer term goal - that 11%- 13% goal that's out there that still remains. We talked about that being a replacement level demand over the cycle. Obviously, this year is a bit below replacement cycle, or we would expect it to be and then getting back for replacement levels. So without splitting hairs, I would say that the level of - nothing has really changed for our industry outlook over the near term.
George Sellers: Gotcha. Okay, that's helpful. And then could you give us an update on the secondary market for railcars in terms of like, where valuations are, and just the level of activity there?
Jean Savage: So the secondary market is better than it was last year, definitely more robust. As you saw, we had a small deal in the first quarter. And remember, we can be both a buyer and a seller in this market and continue to look. I think it's strong and will remain strong through the year.
George Sellers: Okay, great. I'll leave with that. Thank you all.
Jean Savage: Thank you.
Operator: And the next question comes from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Yeah. Thanks for taking my question. Wanted to dig into the encouraging commentary on the inquiry levels and what sounds like maybe some increased conviction that the manufacturing market will recover towards mid-cycle levels next year. You've just taken down capacity, labor markets have been challenging in a lot of industries here. Cost and materials and steel and beyond and just general supply chains have been kind of gummed up in a lot of industries as well. Can you talk about the conviction that, when your customers want the cars that you'll be able to ramp that capacity back up the 50% to 100%, you would need to get the mid-cycle? How you're confident that you'll be able to deliver kind of a historical trading margin as you get to that run-rate? Thank you.
Jean Savage: Okay. Well, I'll go ahead and start on that one. When you look at our management team, they are very strong and experienced. And they've gone through these cycles, many times. And they're really capable of reacting very quickly to the change in demand. And what we shuttered or idled facilities, we're offsetting with efficiencies, enhance supply chain, some of that outsourcing of those low value-added fabrications. So that also helps us. The ability to ramp up production is more dictated by the ability to get the labor force in. It's not the manufacturing space. We're fortunate that we have very qualified people in the plants. We have our own welding schools inside of our own plants. So if we need to go in and bring new people into the industry, and train them, we have that capability. So we're feeling pretty comfortable with our ability to ramp up for the demand.
Bascome Majors: And thank you for that. And just one more, on the capital allocation. You talked about the returns-based approach, you talked about your near-term priorities. With the stock at 28 to 30 bucks instead of in the low-20s, can you give us some thoughts on how you prioritize the buyback versus the dividend on a go-forward basis? And maybe beyond that, we've talked a little bit about acquisitions and your core North American railcar market. Is there an opportunity to maybe be a railcar owner in some overseas markets that may offer some more growth mid-term? Thank you.
Eric Marchetto: Thanks, Bascome, this is Eric. So when you get into capital allocation, obviously, it is dynamic. Our share price has changed from last year, it's improved quite a bit. And so that certainly does change the equation, but so of the returns and everything else that we expect going forward. So, it's a very dynamic process. We look at each investment decision. And in the end, we choose what's the highest return. And when you look at what we have ahead of us, and what were opportunities are? If you'd expect acquisitions, dividends, share buybacks, you're going to see a combination of all those things from us. And in the end, we're going to do right for the shareholder.
Bascome Majors: And on the idea of potentially investing capital in overseas railcar markets, whether it be Europe or India or somewhere else. Just any thoughts on whether that's in the potential decision tree is as you generate cash going forward?
Eric Marchetto: Sure, Bascome. I'll take, this is Jean. So we are looking at M&A in different areas. And we will also look for markets that can provide the returns that we need or we're expecting in our business. So have we considered or will we consider in the future? Yes. We just have to again find the right market and the right price to be able to enter into some of those.
Bascome Majors: Thank you.
Jean Savage: Thanks.
Operator: And our question today comes from Steve Barger with KeyBanc Capital Markets. Please go ahead.
Steve Barger: Thanks. Good morning. Can you go back to your comments on steel prices and supply chain constraints? Did you say the current backlog could have some margin pressure due to steel prices?
Jean Savage: What I was talking about on the steel prices is we do a lot of different actions to mitigate any of those pricing headwinds. There could be something that comes up that we're unaware of that may cause some pressure. But for the most part, we are covered in our mitigation efforts for orders that we have in place.
Steve Barger: But you do think that higher steel prices, if they were to persist could cause some demand destruction?
Jean Savage: We do. So customers have been already delaying making some decisions. We think some will continue to delay until they have more confidence in their business and where it is in the recovery. But as you look at that, steel prices and our new car production, even though it ranges depending on the type of the car has gone up 10% to 20% for a car. So that does change the dynamics and the decision-making. So where you're going to see people placing orders are those that do have cars that are available anymore for them to take and use, they're going to have to buy new.
Eric Marchetto: And Steve, when we said, that that will make existing railcar assets more attractive. That's one of the things we like about our platform. The demand goes through our existing fleet, and then to the new manufacturing builds. And so that will leave our existing - that will leave existing assets a little more room to run in terms of increased lease rates, because the replacement costs have gone up. And so we see that. We expect to see that in the future. And that's why we're confident in our outlook.
Steve Barger: Makes sense. And just in terms of supply chain, I think he said something about component prices. Any comments on price and availability from a disruption standpoint?
Jean Savage: We've been very fortunate throughout this pandemic. We've had very few if any supply disruptions. Most of our supply chain is in North America, so above 90%. So we have been experiencing the same disruptions others may have.
Steve Barger: And are you protected contractually on manufactured components that go into your railcar production?
Jean Savage: So just like other businesses, you have escalation clauses in there sometimes for the changes in material input costs. And so that's where we talk about our contracts, we also pass those through to make sure that there's coverage.
Eric Marchetto: Yeah. For especially components, that's generally comes through when we call scrap surcharges and their contracts that contemplate those.
Steve Barger: Got it. And last one for me. I know you've been really focused on digital platforms and data analytics. In the Analyst Day, you've talked about a $20 billion to $25 billion addressable market opportunity for those services. Any update on how that platform or how those commercial initiatives are coming along? And maybe any early read on trend site?
Jean Savage: I'll go ahead and take that one. So I mentioned in my prepared remarks that we were seeing more and more customer interest. Most of the time, the customer now is bringing that up in our conversations when we're talking to them about their needs. We have approximately 50 customers right now who are in process of going into pilot stages for these. And we've seen an increase in the number of cars that are already paid, we're coming on to that platform. So it's still the beginning. It's still initial results, but very favorable recognition from the customer and demand from them.
Steve Barger: Got it. Thank you.
Jean Savage: Thank you.
Operator: And our next question today comes from Barry Haimes with Sage Asset Management. Please go ahead.
Barry Haimes: Thanks so much. I had a couple questions here. One is, I think you mentioned that the FLRD was down 14.8% in the quarter, in part due to a tough comp on cars coming off-lease. Could you talk about how that comp works for the second, third and fourth quarter so as we go through the year? Does that comp stay at similar level or just to start to get a little bit easier? That's the first question.
Jean Savage: Okay. So remember, our FLRD is the forward-looking rate for the next 12 months that we're seeing based off of the renewals that we've had recently. But let me talk a little bit about lease rates and see if I answer the question. So remember, there's many different markets, and they're all recovering at different rates. 40% of our markets are seeing sequential increases in rates already. Other markets still have cars and storage, and availability from other lessors. Those will continue to have rate pressures until they're put back into service. Scrapping plays a role in this. So if you're scrapping 50,000 plus cars a year, the demand - supply and demand metrics will give you higher lease rates. So what we're seeing is that everything that underpins that lease rate is trending in the right direction.
Barry Haimes: Got it. Okay. Let me follow up and ask one related question, to maybe try to give a little bit more clarity. If you could take one or two of the car types, perhaps that are striving to get better. Could you talk about where the lease rate would have been at the end of the year where it is now? But more importantly, with the higher price of steel, where the lease rate would need to be for you guys to build a car and put it into lease fleet? So theoretically, where does it have to get to justify newbuilds if you will?
Eric Marchetto: So, in terms of car types, where you've seen improvement. Generally, I'm not going to get into a lot of details on different car types. But generally, we've seen a little more as the slack has tightened on the freight car side, specifically cover hoppers for grain and agricultural products. We've seen a little more tightening there and less so on some of the tank cars - on the tight side, specifically, energy-related tank cars. There's still excess railcars serving those markets. Getting into your question on, what does investable levels? So Jean mentioned 10% to 20%, material cost increases. That statement with no other changes would mean lease rates would need to go up 10% to 20%. I'm not saying we've seen lease rates go up by 10% to 20%, but that's fundamentally if you're going to hold the same hurdle rate on your investment than they would need to go up. And that's why we think the existing car rates will come up, because the alternative is invested in a new railcar. A new railcar, oftentimes provides a ceiling on lease rates for existing railcars, they have similar utility. And so those investment - those capital costs on the new railcars going up will give lease rates a little room to run. And so that takes time. It doesn't - the market is not perfectly efficient. So that doesn't just happen at once. Information in our market is less than perfect. And so as people start to see that over the next quarter, two quarters, maybe even three quarters, you'll start to see that trend pick up and continue.
Barry Haimes: Thanks. That's very helpful. One more very quick one. What is steel, as a percentage cost to good sold for you guys, approximately?
Eric Marchetto: We really don't get into a lot of detail on that. Obviously, when you look at - there's different types of steel, we have steel plate, steel coil, and all of our components. All of our components are generally steel which your cast products. So when we're talking steel in turn, today, we're talking more about the raw steel go in coil steel, and plate steel. When you get into the overall - all the componentry in a railcar, then basically the material cost or entire railcar is steel. So, the only other point on that is our labor and overhead feat. So when you put all of it together, it's a very high mix. When you just look at the coil steel and the plate steel, then it's well under - it's probably more - it's much lower than that.
Barry Haimes: Great, thanks very much.
Eric Marchetto: Thank you.
Operator: And ladies and gentlemen this concludes our question-and-answer session. I'd like to turn the conference back over to Jessica Greiner, for any final remarks.
Jessica Greiner: Thank you, Rocco. A replay of today's call will be available after 10:30 am Eastern Standard Time through midnight on April 29, 2021. The replay number is 877-344-7529 with an access code of 10152017. A replay of the webcast will also be available under the Events & Presentation page on our Investor Relations website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: Thank you, ma'am. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines. And have a wonderful day.